Operator: Good morning, and welcome to the Jacobs Engineering Third Quarter 2012 Result Conference Call. [Operator Instructions] Please note this event is being recorded, and now I would like to turn the conference over to Patty Bruner to read the forward-looking statements. Please go ahead.
Patricia Bruner: Good morning. The company requests that we point out that any statements that the company makes today that are not based on historical facts are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences, the company requests that you read its most recent earnings release and its annual report on Form 10-K for the period ended September 30, 2011, including item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein; and the most recent from Form 10-Q for period ended March 31, 2012 for a description of our business, legal proceedings and other information that describes the factors that could cause actual results to differ from such forward-looking statements. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements, whether as a result of new information, future events or otherwise. And now I'll turn the call over to John Prosser, CFO of Jacobs, who will discuss financial results.
John W. Prosser: Thank you, Patty, and welcome, everyone. I will go over the financial highlights briefly, and then I'll turn it over to Craig Martin, our CEO, to go through the business overview and our going-forward strategies. Going to Slide 4, just a recap of the third quarter financial highlights. We did report diluted EPS of $0.76. This was in line with expectations, I believe. Included in the $0.76 was about $0.01 that related to some favorable tax activity in the quarter. While we've been bringing our tax rate down a little bit over the last couple of years, we had an extra benefit this quarter that is just a onetime event. But even at the $0.75, it's still right in line with what the expectation for the quarter was, I believe. Net earnings were $97.9 million. Backlog increased nicely to $15.6 billion. That's up from $15.1 billion last quarter and represents, if you look over the trailing 12, a book-to-bill of 1.15. So 15% growth is a nice trend in the backlog, so a 15% growth in the book-to-bill. We continue to have a strong balance sheet. The net cash position was $386 million. Total cash was just under $900 million, and we're maintaining our guidance from last quarter at the range of $2.80 to $3 for the fiscal year '12. Turning to Slide 5. This just tracks the earnings over the last few years. More importantly, we show the 10-year compounded growth rate for each of those years. And as we talk a lot, our target and our expectations is that we should be able to grow over the long term our bottom line at 15%. And if you look at those bars even through this downturn, we're still right there at that 15% growth rate. Turning to Slide 6. Backlog growth, nice growth from a year ago, did have a tick up in field services as well as strong growth in the professional services. For the quarter, we were up, as I said, about 3.3%, and for the year, it's over 11% growth so -- and still strong growth in the professional services. So with that, I will turn it over to Craig for a review of the quarter.
Craig L. Martin: Thank you, John. Beginning now on Slide 7, just a quick review of our growth strategy. It doesn't change. It hasn't changed. We continue to be committed to our business model of being relationship-based, being local to our clients and diverse in the markets, both domestic -- our multi-domestic strategy and through the focus on multiple markets. We're going to continue to leverage our cash position for strategic acquisitions, and I'll talk more about all of those things later in the discussion. The thing I want to focus on here is our ability to continue to drive down costs. We had an excellent quarter from a cost control point of view. As you know, we were very disappointed about cost control last quarter, but we have recovered nicely and feel pretty good about our ability to continue to control costs going forward. That puts us in an excellent cost position just at the time when margins broadly are improving. We're seeing nice improvement in margins in the private sector. The public sector continues to be more price-sensitive than ever, although that's good for us. But of course, the margins have always been stronger in the public sector, and they continue to be good margins going forward. So overall, I think our cost position is a positive in terms of our outlook. Turning now to Slide #8. This is our relationship model. We've showed this to you in different forms at different times, trying to help make it clear how the process works. But it really is a function of long-term relationships creating value, which creates repurchase loyalty, creates a stable business for us that we can then grow, reinvest in the business and have this sort of virtuous circle of continuous improvement. It is different than many of our competitors, most of whom follow a big events kind of model, many of whom have a substantial portion of their business in the lump sum turnkey arena. As you know by now, I'm sure that's just not the Jacobs way. This model continues to work well for us. Repeat business last quarter was 91.3%, consistent with what we do pretty much every quarter. And we continue to get a significant part of our business, north of 75%, 80%, from preferred relationships with our customers. Turning now to Slide 9. I'm just going to spend a second here. You can kind of see how our diverse markets break out. There are 9 markets that we report on, although the one down in the corner, that's Pulp and Paper, Power, High Tech, Food and Consumer products is obviously a lot of the smaller submarkets or small markets. But it is a good level of diversity, and I think that's a positive for us in what is a very complex economic situation. Let me move ahead now to Slide 10, and I'll discuss each one of the sectors in a little more detail. So we have our Public and Institutional business. As you can see, it makes up just right around 40% of the company's revenue, made up of national governments, infrastructure and buildings. The markets in general in this area are improving slightly. The National Government business is improving, for us at least. We've had a number of major wins this last quarter and this year in the aerospace and defense arena, and we continue to do really well with the transformation of much of the U.S. aerospace and defense business into Multiple Award Task Order Contracts. We're able to take share in these situations from our competition, and that's contributing to maintaining a strong business in what has otherwise been a fairly tough climate. When you look to things like the MoD where we think there's a lot of growth opportunities for Jacobs, they've locked down their budget at $160 billion on a 10-year basis. They're very enamored with a government-owned contractor-operated business model, like Jacobs uses for the atomic weapons establishment, and it looks like that's going to lead to other major contract opportunities of a similar nature, where I think our reputation in the U.K. and our position on AWE could well lead to us winning some really nice long-term assignments, the kinds that Jacobs really likes to do. In addition, there continues to be a lot of environmental spending. There's a chunk of it still in the U.S., and of course, there's an ongoing program in the U.K. It looks like the funding in the U.K. has plus-ed up another $4 billion, so you get some sense of what a huge market that is when you think about a plus-up of $4 billion. Moving on now to infrastructure, another area where we see improvements, particularly in things like rail, water, utilities, telecom, all the areas that have in common that they're user-fee driven. And the user fees that are available there really can drive business, even in tough tax and economic climates, and we think that will continue to do so. Another good news item is the extension of the highway and transit bill. It's good news from -- predominantly from the stance that it creates real visibility and some certainty that will allow a number of states and localities to release projects and begin moving ahead with their spending because they know what's going to happen. And I think that will be a positive for our business as well. And then as you think about infrastructure more broadly, globally, we're seeing huge, huge investments in a number of different places. Examples of these are the Qatari rail program or India's ambitious plans to spend $5 trillion over the next 5 -- or 5 -- $1 trillion over the next 5 years. That's a staggering amount of money. It's more than they will spend. They just don't have the ability to move that much in the way of projects. But it is indicative of what probably would be a program close to half that, which over a 5-year period, means something like $100 billion a year in infrastructure spend in India. And as you know, we've gone to lengths to get position to take advantage of that. And then the Buildings business, that's a little more of a mixed bag. There are aspects of the Buildings business that we don't really participate within that are really poor, commercial office buildings, retail, both pretty tough markets right now. But the businesses that we like to do, healthcare, mission critical facilities, complex technical buildings, school programs as opposed to individual schools, all remain pretty strong elements. And I think they're all positives for our position in an otherwise kind of mixed market. Whatever the Affordable Healthcare Act means to businesses otherwise, it looks like it's going to add something like 30 million users to the health care system, and that's going to require a substantial amount of investment to accommodate those additional users. On the mission critical side, there are major upcoming procurements, and of course, the dot-coms continue to spend lots of money on mission critical facilities. And while none of them will let us say that we're working for them, there's plenty of opportunity there and plenty of work in terms of what we can do. And then the school buildings market, this number, again, kind of staggering, $271 billion of deferred work. We just finished a study for one school district alone that had $2.45 billion worth of improvements required immediately. When you look at the backlog side of this aspect of our business, you can see quarter-over-quarter, we've gotten some growth. We're still below where we were back in Q3 of '10, although we still had a lot of the residuals of the stimulus program in backlog at that time. So I think this there's -- while there's some way to go to get back to where we'd like to be here, we're actually performing pretty well in the public & institutional marketplace. Turning now to Slide 11, the process business. This is refining oil and gas and chemicals. Collectively, these are very robust markets. Refining's actually improving. We're seeing good crack spreads for the U.S. Gulf Coast and the West Coast, and the refiners tend to spend cash flow on improvements. So we're seeing a fair amount of projects and opportunities. Nothing huge, but that's okay. Our specialty is not the huge projects. It's the ones in between. So we think the U.S. refining market will be good for us. We also think that our expanding presence globally means a lot of positives for us in places like the Middle East, India, China. All of those places seem to have new investments, and there's substantial new refining investment both in Middle East and India, and Jacobs is especially well positioned with our strong reputation in refining to take advantage of that work. When you move on to oil and gas, it's strong. You might even say very strong. Our upstream business is growing. The construction momentum is starting to build. I think that's a positive. There's lots of activity up in the SAGD and oils sands market, and we continue to be the premier player in SAGD. If you noticed, the forecast is up from quarter-over-quarter. We're now seeing more like $30 billion in annual spend going forward, assuming that oil prices stay in the range they are or above. And then the unconventional gas world is another huge market opportunity for Jacobs. The CapEx as you can see is in the $150 billion to $200 billion range over the next few years or maybe a little longer than the next few. It's ideally suited to Jacobs. It tends to be a large number of small projects. It tends to be multiservice. By that, I mean it's not only process engineering but infrastructure engineering and buildings work and permitting, and it tends to have a local flavor. And so Jacobs is well positioned in all of those aspects to serve these customers. And most of our traditional competitors in the upstream world lack the buildings and infrastructure background and the local presence to be effective with these customers and these projects. And then chemicals it is just as good as it can be. We have these low-cost feedstocks driving tremendous growth. As we mentioned last quarter, 8 crackers announced, all with huge derivatives facilities associated with them. We know all 8 of those won't get built, but there is plenty of evidence that 3 or 4 will, and that will be something in the $12 billion to $16 billion of investment, 2/3 to 3/4 of which Jacobs will be able to access. We also see a significant investment in the Middle East and in Asia. And of course, India is also becoming a giant in the petrochemicals world, with huge investments both by the Indian oil companies and by companies like Reliance. This is a historic strength of our company. There's practically no project on the derivative side that we don't have good qualifications to do. And so we think that represents an ongoing tremendous opportunity for us as a company. If you look at the backlog trend, that's the backlog trend we like to see, steady up and up 17% year-over-year in the Process business, so that good news. Turning now to Slide 12. This is our industrial business, or at least we call it that for convenience. It starts with pharmabio. Our pharmaceuticals business remains pretty good. It's nice and steady. We are, as I've mentioned before, sort of the last man standing in the industry. So when these customers need projects done, we're the go-to party to do them. And there's a lot of investment going on in places like India and China in particular to serve those large domestic markets, consumers of healthcare products and pharmaceuticals. So we think this business is going to remain good. It won't be a big spender compared to some of these other industries by comparison. Mining and Minerals, also very strong. I've mentioned we found Mining and Minerals to be very conducive or connective to our relationship-based business model. The market remains enormous, and we remain a minor share player comparatively. We think there's tremendous opportunity for us to grow. We look at South America, we look at Australia, huge amount of opportunity there, a significant forecast for CapEx spend in both parts of the world. We're able to leverage China into these projects with significant cost savings. And again, we bring to the party something a little different than most of the competitors. We have the metals processing, mining and minerals background that most of our competitors have. But we also have strong capabilities in buildings and infrastructure that is also essential to these big mining projects, and many of our competitors are unable to provide that same level of capability. So we see that as a positive for us as we go forward. And then the last category, Power, Pulp and Paper, High Tech, et cetera, a mixed bag. Some businesses are pretty good. Pulp and Paper continues to pick up. We see expansion not only in our business domestically but also in places like India. The power market, slowly but surely, we're gaining share on a bootstrap basis, and we continue to be a real player in the U.K. power market, particularly in the nuclear arena. And then consumer products business, again, is being driven by consumption in the developing economies, and we're leveraging that with our alliances and our growth in that area. From a backlog point of view, you can see backlog's down slightly quarter-over-quarter. But it's up something like 60% year-over-year, which is really good growth in backlog when you think about it, especially since both quarters include Aker. Well, now moving on to Slide 13, our geographic diversity. I'll just take a minute to go through the markets and some of the key points. North America, I've already talked about the oil sands business, how strong it is and the chemicals market, the Natural Gas business. Those are all strong plays for North America. But we're also starting to see a lot of activity, particularly in rail. We were chatting here before the call started about freight rail in particular and the really significant increase we're seeing in that arena. Moving on to South America. This is for us still mostly a mining and minerals play. We see a lot of opportunity for our ongoing growth there, and we see a lot of opportunity to expand into what we think of as adjacent markets. So things like oil and gas, pharmabio, food and consumer products will all be opportunities for us to grow in South America. Moving over to Europe and Africa. The U.K. defense budget, I have mentioned and the power that it has. There's still pressure on the Infrastructure business, although we seem to be managing to take share and offset that pressure. So I'm very happy with our performance there. And then of course, Environmental Remediation and Nuclear businesses are both strong in the U.K., and we're doing very well in establishing our position. In the Middle East, it's largely for us a play with Aramco and the process business today, but interestingly enough, another place where the buildings businesses is starting to get a lot of traction and our infrastructure business is starting to get traction. So I think the Middle East will be a great growth opportunity for us as we go forward. Just in the 2 predominant markets for us, the Kingdom of Saudi Arabia and the United Arab Emirates, the expected CapEx spend is something like $217 billion over the next 5 years. So the numbers are staggering. And India, I've talked about most of those growth areas, the infrastructure investment, the expansion in chemicals and the investment in the refining business. So India is going to be a good market for us. We are the dominant engineering company in India at least from a size point of view. It's still a pretty fractured market, so there's lots of additional opportunity for us to grow. Moving on to China and Southeast Asia. Our position in China continues to be one that we can leverage with these multinational customers. A number of good pharma projects, a lot of chemicals work are all driving our business both in Singapore and in China, and we continue to have a decent infrastructure business, particularly in Hong Kong, as well. And then finally, Australia, another significant area for mining and minerals and oil and gas. We are a decent-sized player in the mining and minerals area. We have a lot of opportunity to grow in the oil and gas side and still plenty of runway in mining and minerals as well. Again, this is one of those markets where the adjacencies of infrastructure and buildings and airports and all the kinds of things you really don't think about when you think about a mine, have high leverage for us as a company in growing our business. And we continue to have a good business in the national governments arena supporting the Australian Department of Defense. So that's the story on the markets. Moving now to Slide 14, acquisitions. Nothing particularly new to report here. We continue to see lots of good opportunities and, in fact, more opportunities than we can embrace. The market remains pretty decent in terms of pricing, notwithstanding what you may have seen with Shaw and CBI. And we think there'll be plenty of decent deals to do that are the kind that we like to do. There probably aren't any public sector deals in our radar. So that brings me to the concluding slide, kind of the commercial on Page 15, why us? And I think our story remains good. We're effective at controlling costs. We have a strong balance sheet and a cash position to drive acquisitions. We're diversified in terms of markets, geographies and services, and our relationship-based business model works well. So I think all of that means we should be able to continue to drive that 15% annual average EPS growth forevermore. And with that, I'll turn it back to Emily for questions.
Operator: [Operator Instructions] And your first question will come from Jamie Cook of Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Just 2 quick questions. One, if you could put -- your field service backlog and orders have been growing nicely. Can you give an update on how you think about that translating into revenue growth, whether we should start to see that -- when we should start to see that accelerate? And then just my second question, on the margin front, I mean, outside of last quarter, which you explained, the margin issues in the last quarter which you were right, were onetime -- an issue, onetime. We continue to see margin improvement coming out of Jacobs. Can you talk about the trajectory over sort of the next 12 months? And is there any reason why that can't continue? Because I'm just thinking with the field services revenues coming online and with some margin expansion, it could set you up for a good double-digit growth year x any acquisitions, which would be additive.
Craig L. Martin: Let me take the first part in terms of where we think the field services thing is going and where the ramp-up looks like it is, and then I'll let John talk about the margins. We didn't update the field services data specifically for today's call, but when I look at the data that I get from our guys, it looks like the slope really starts to pitch up right after the end of the next quarter. So if you look at the data starting Q2 of fiscal '13, you see a pretty steep ramp-up of the actual execution of field services backlog, and it ramps up steadily based on what we see right now for the whole next year. So we're feeling pretty good about where that construction business goes. Now that's a mix of a ramp-up on our maintenance business and a ramp-up on direct hire construction work. But between the 2, in the next couple of quarters, we'll start to see additional ramp, and it'll start to show up in revenue in about that same timeframe or a little after. John?
John W. Prosser: Yes, on the margin look-forwards, we're in a pretty good position. We're seeing slight increases in our pricing in the markets and some markets better than others. So from the professional services side, the trend is positive. What you'll see though is as that field services starts to move into revenue and the mix moves off of this fairly high pro service mix that we're in right now, that will be a slight dampener to that growth. So I would say at this point, over the next 12 months or so that we'd see maybe a slight improvement in the operating margins, but -- improvement in each of the pieces of the margin, but the mix will probably keep a modest growth, if any.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And then I mean...
John W. Prosser: And that's on a percent. The dollars, obviously with the growing revenues, will be growing nicely.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And then sorry, I mean, your commentary in mining, I guess, still sounds positive. I mean, geographically, can you talk to -- I mean, is there any slowdown at all that you're seeing geographically, given some of the project push-outs we're hearing about? Or on the margin, are you more conservative about prospects in 2013 versus 2012? And then I'll get back in queue.
Craig L. Martin: Great question, Jamie. There certainly is some movement in terms of projects and commitments to CapEx. In particular, Australia is troubled more so, I think, than most of the rest of the world. There's a lot of games being played in Australia vis-à-vis the political situation and various taxes and royalties on the extraction of resources. And I think a couple of our customers are seeing that as an issue for where they're going to invest. And so I'd put Australia a little bit on the negative side or at least not as positive as some of the rest of the world. On the other hand, Chile is going gangbusters. We've got a couple of big projects. Codelco has given us a huge job that they continue to expect to move forward and so do we. There are a number of other prospects like that. When you look at the economics of the whole copper situation, there's 2 things that are driving copper, which is still a big part of our mining and minerals business. One is the overall price trend in copper has been up now since the beginning of -- the end of the GFC. So if you go back to something like 2009, January 2009, you look at copper prices then, which were about $1.20, and you look at where they are today at $3.44, the overall trend is up. And there have been ups and downs in that trend, copper obviously has been up in the $4.50 range briefly, but if you look across even a 5-year spectrum, the copper prices that we're looking at today, something in that $3.50 range, are pretty consistent with historic copper ranges -- prices. There's also, clearly, a diminishment of stock, so we're -- if you remember, I mentioned last quarter, Codelco is out buying copper on the spot market to fulfill its commitments. That's clearly driven by a steady decline in the grades of copper that are available and how much ore has to be processed to produce a pound of copper. And that driver alone forces significant investment in the copper business just to make stable amounts of copper. If there's no growth in the demand, there's still a significant growth for projects because of this deterioration of the ore body globally. All that's a long-winded way of saying we think that business is still very robust. We think it's going to continue to be very robust. But I do think you're going to see movements about where these big companies invest, based on things like costs and tax regimes. And certainly as I said, that's what's been affecting Australia. Does that answer your question, Jamie?
Jamie L. Cook - Crédit Suisse AG, Research Division: Yes, that's great. I'll get back in queue.
Operator: Our next question comes from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is you said the fiscal third quarter was very much in line with your internal expectations, and when I couple that with your book-to-bill being strong so many quarters in a row, I guess I'm having difficulty really reconciling all of that, which is really incrementally more positive, with your very wide guidance for the fourth quarter. So perhaps, if you could shed a little more color on the near-term uncertainties you're seeing?
Craig L. Martin: John, do you want to take that one?
John W. Prosser: Well, we traditionally and historically have kept our guidance fairly wide, even as we've come to the end of the year. I think I've used the analogy of a bell curve. The middle of the guidance range is more probable than either of the -- as we get out to the end. So I think we just -- keeping with our past practices have kept the guidance fairly broad. And I think we're not going to give guidance within the guidance, other than having said what I said.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Second question is if I look at -- I don't want to dissect between your gross margins and your revenue growth, but really focus on your operating profit which is, I guess, the way you look at it, and that's grown year-on-year 10%. Going forward, as you look at the moving parts on your revenue side and your mix shift, when you -- how many quarters do you feel that we might be out right now in terms of getting back your operating profit back to that sort of 15% year-on-year growth trend?
Craig L. Martin: Well, I think our belief that -- and it's still early days. We're still assessing what we think '13 will look like, but our expectation is that we're going to see that 15% kind of growth, plus or minu,s as we go forward into '13 and beyond. There's nothing about the business as we see it today that we know to be a challenge. We're making that, absent what's happening in the U.S. and European economies. And there is a big uncertainty in that number, in that economic situation right now, and we're still affected by that. So as we look forward, there's a lot of indicators that are positive for that sort of 15% compound growth. There are a couple of indicators that are negative, and we're going to be looking hard at that over the rest of this quarter and the early part of next quarter, certainly before we talk to you again, to get a stronger, clearer view of where we think we are. But I am upbeat about what I think FY '13 looks like.
Operator: Our next question comes from Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Craig, if I could follow up on the last comment, there's obviously been a lot of volatility in the global economy. But one thing that was different, I thought, in your opening remarks were your comment around margins broadly improving, and I thought that was a pretty optimistic comment. And obviously, E&C is late and long cycle, so it doesn't change as quickly as the global economy. But are you seeing sort of better utilization from your peers, and that's helping you to make that statement? And is the -- are customers still sort of staying the course, even with the economic volatility out there?
Craig L. Martin: Yes, let me try to segment that answer just a little bit. With respect to things -- the private sector businesses, for the most part, utilization for us and our competition is pretty high, and margins are starting to move glacially, but move up. Part of the long cycle mention that you just made is that moving margins up isn't something that happens quarter-over-quarter. It's interesting. Our customers expect them to go down instantly, but they let us drive them up very slowly. So -- but we are making progress. We are getting a little bit better margins, we are renegotiating some existing contracts and getting a few additional points on the multiple, and so the private sector business broadly is letting us have a little better margins. In the public sector, the margins have always been good. In fact, they've always been better than they should be in the interest of the taxpayer and the public sector. Their utilization isn't very good, and there's a lot of competition, but many of the competitors don't have the cost structure to really compete at the fundamental level. And the benefit of that is it's letting us take share at what are otherwise decent margins. So we’re getting a little bit of growth in that business with not better margins, but margins that have historically been good and remain pretty good by the way we look at margins. I think if you talk to somebody whose business was a little different than ours, they might have a little different view of what's going on in the public sector markets. So broadly, that kind of characterizes where I think things are. Does that answer your question, Andy?
Andy Kaplowitz - Barclays Capital, Research Division: It does, Craig. And you didn't see, though, anybody sort of pull back -- besides sort of the mining comments in Australia, you didn't see anybody pull back in sort of May and June and say, hey, wait a second, let's take our time with these projects?
Craig L. Martin: At least at this stage, the projects are moving forward at a better pace than they did, say, right after the GFC. I've seen them move faster, but that's not a change from faster to slower. It's just they aren't as fast as they sometimes get to be. So I'd say no. We look at cancellations every quarter, and there's always some. But the cancellations again, this quarter, were absolutely nominal in the scheme of the backlog.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. That's helpful, Craig. If I could ask you guys about Motiva. I know you don't like to talk about specific projects, but obviously, there's been some news on Motiva over the last few months. And what are you doing now? Did you go back into that project? And are you doing more work? And how do we assess the liability of Motiva going forward?
Craig L. Martin: Well, this is an awkward one for us, Andy. We're sort of bound to the customer not to talk about this more than what they’ve said. They've sort of outlined the basics of what the problem was and what it’s going to take to fix it, and they're in the process of getting it fixed. I can't tell you whether we're helping them or not helping them. From a liability standpoint, we're quite confident we have none. So this is not a Jacobs issue in any way, shape or form.
Operator: Our next question comes from Joe Ritchie of Goldman Sachs.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: So quick question. When we met back in May, you talked about tightening engineering capacity and how it started to resemble the slope from 2004, 2005. I was just wondering, just based on what we're seeing from your prospects today, do you still feel like that? Has that changed at all? Has that continued to tighten?
Craig L. Martin: Yes, I think the answer is that we continue to see a steady and maybe even slightly increasing flow of prospects. That's resulted in, as I mentioned earlier, better margins and more -- a little bit better deals, a little bit of an ability to go back and renegotiate existing deals because of the ability to show the market as being stronger than the existing deals might be. And I think that we are clearly in -- at least -- and again, in the major parts of our private sector business, on a nice upslope. I don't think we're, in any way, shape or form, at the beginning of another bubble like we saw from '06, '07 and '08. I don't see that out there. I don't expect that. We're certainly not planning for it. And I don't think most of our competitors see it that way either, although I haven't talked to all of them about what they think the market looks like. So I think it's good but not great. Somebody talks about a new normal. I think our new normal is like our old normal, and that's sort of the steady non-bubble growth of the late '90s and early 2000s.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay. That's helpful, Craig. And I guess just trying to square away some of the comments you made earlier about field service starting to ramp up in the second quarter of '13. Should we then start to think about margins degrading around that time frame as well? And so what's the right way to think about the margin trajectory once you start to see field pick up?
Craig L. Martin: Yes, I think once field services starts to kick in, in a big way, you'll see the margin percentages degrade. Now, absolute margins will go up, but we'll see a lower percentage because the field service margins carry -- they're lower to start with, but they carry less G&A. But in the aggregate, they're still lower, on a net margin basis, than engineering services margins are, particularly within our mix of business.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: And is there any way to help quantify what the impact is as we kind of progress through '13? Or is it still too early to tell?
Craig L. Martin: John, you...
John W. Prosser: I think what we're seeing is, on the one hand, we are seeing improving margins in each of the business groups. So professional services margins are improving slightly, even what we're seeing as we are ramping up and getting some of these new contracts on the field services are a little bit margins -- better margins than what we have been working on. So I don't think it's going to be a huge dip. It's not like it's going to turn down dramatically. But over the balance of the year, it will probably tend to be flat to down slightly as opposed to continue to grow after we get through into that second, third quarter. I think you'll be able to kind of track it based on the mix of revenues. Right now, it's kind of -- we're still at that 60-40 professional services, and we're not going to probably see this over the next 12 to 18 months reverse, but it's going to start trending down closer to the 55-45 and then 50-50, and that's going to have some pressure on margin growth. And depending on how quickly that mix starts changing, it will be probably somewhere from -- it’ll dampen the margin percentage growth from flat to maybe down very slightly.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. I guess one last question in the wake of yesterday’s big deal announcement. Maybe you can give us an update on your acquisition pipeline, whether your appetite for potentially larger acquisitions has changed at all. And just any color that you have there would be great.
Craig L. Martin: Sure. First off, the acquisition pipeline is very robust. There are lots of deals out there to do. In fact, more deals to do than we have the resources to work. The appetite within our company remains for smaller deals, up to something in the 10%, 20% size relative to Jacobs. So a company with $1 billion of revenue or even $2 billion would not be too big in our mind. But certainly, a Shaw kind of deal is still not on our screen. Moreover, as I think we've said before, public company deals tend to be challenging. The ARBs [ph] get involved, and so you end up paying too much. You can't get much in the way of protections in terms of the deal because you're buying it from anonymous shareholders. So that becomes a challenge as well. And so our appetite for a Shaw or any of those sort of peer-sized companies or near-peer-sized companies is close to 0. And I'd say there's plenty of companies in the $100 million revenue to $2 billion revenue out there that are private that we can the customary protections of escrows and insurance and all those things that we like to get to make sure those acquisitions are successful. And they're deals where we're not paying the target company or its shareholders for the synergies, which is another challenge. So that's kind of where our head's at. Nothing about what happened with Shaw changes our outlook. Shaw was peddled pretty heavily, including to us, by the investment bankers, and it just didn't turn our heads. Not that it's not a good company. It's just not the right deal for us.
Operator: Our next question comes from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I just want to make sure the work you're doing for the dot-coms, you're not taking their common stock in for the cash, correct?
Craig L. Martin: No. No. Good question though. I want to that clear.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: That's great. A couple of things first. You talked about the better visibility with the Highway bill and some of the infrastructure opportunities. When will we start to see maybe some more visibility for Jacobs? Is that more like a first half 2013 calendar opportunities?
Craig L. Martin: It is a market that grinds very slowly. So let's -- if projects start to get released, which it seems like they are now, you'll have a couple of months' worth of cycle of trying to compete for and win them. Then you'll have 3 or 4 months of contract negotiations, and all the paperwork that goes with doing business with a public sector customer, before you can get a release and a notice to proceed. So an award today is probably start work 6 months from now. And then you’ve got to spool it up from there to get to the point where it's really generating a lot of revenue. So I don't think that's -- it's probably a second half '13 conversation more so than anything in the next 9 months.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Second question, Craig, is the lead times and some of the refining opportunities that you're looking at and working on in the Middle East, is that a 6-month or is that a 12- to 18-month opportunity with some big hits to the backlog?
Craig L. Martin: Well, the projects in terms of their duration are 36 to 60 months in duration. Our role tends to be FEED and then PMC with the occasional EPCM project in the mix. The effect of all that is that the FEEDs are continuing to be pretty active now. We've got a few projects going into detail design, 1 or 2 that we will be starting construction management on in the relatively near future. The overall sort of backlog impact for us is more in the 24- to 36-month cycle, and that's actually fairly traditional for these projects globally. The challenges in the Middle East are more in terms of just getting the project going. Once the project’s affirmed, it takes a little bit of time to roster the people and get the team assembled, get the necessary approvals and really get the project moving ahead. There's probably a little more of a lag time upfront compared to, say, a similar project on the Gulf Coast. But the projects once they're -- as they come into backlog and we get them going, they look very similar.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Final question is, Craig, you mentioned more than once in your prepared remarks, India. Could you -- is India going to continue to underwhelm on the expectations on opportunities in growth in public and private sector investment? And if they don't, if they actually start to see it, can we see a pretty good ramp in that business or that country from you guys?
Craig L. Martin: I think you got to separate the public sector and private sector businesses, although that's a little bit hard to do in that world. So let me separate it a different way. Let me say the buildings and infrastructure versus process. The Process business in India, both Indian Oil and Reliance are investing massively in infrastructure and -- or wrong word, in process projects. So refining investments, chemicals projects, enormous amount of money being spent just by those 2 customers, and we are the beneficiary of that. We're starting to win a significant share of both sets of business, and we think that will have a big impact on our process business in India in a relatively short term. In terms of how that moves the needle for the company, it takes -- still takes, as I think I've said on this call many times in the past, lots of rupees to make a dollar. And while we make lots of rupees in India these days, so India is a significant contributor to our P&L, this growth won't contribute the same amount of growth to the P&L that similar growth would in a different geography. If you switch to the infrastructure side, I mentioned India's $1 trillion plan. They can't spend $1 trillion. They don't have the resources or the capability within government to spend $1 trillion. They're going to get a lot of outside help. We're going to see a lot of public/private partnerships and private investment. And I think that's actually good news from an infrastructure point of view, particularly in areas like making sure the work is done transparently. So I think the lead time and the rate of growth on the infrastructure side will not be as great as it will be on the process side. On the other hand, I think the long-term growth and infrastructure in India will be very, very significant for our company and other companies that are capable of doing that work. Does that answer your question?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Excellent.
Operator: Our next question comes from Alex Rygiel of FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: First, a question on the U.K. market. Can you give us an update on the U.K. NDA Magnox rebid? Is that a project that you're interested in being the majority partner on? Or are you seeking a minority partnership? And then secondly, Craig, can you expand a little bit more on your comments about the U.K. nuclear market? Sometimes when I think about the nuclear renaissance, I question whether or not it will gain too much momentum, given where gas prices are. Does the U.K. market have that same kind of headwind?
Craig L. Martin: We'll let -- we'll talk about that. But let me ask George Kunberger, who is Head of Sales for Jacobs, to comment about Magnox and then more broadly about the U.K. nuclear market. George?
George A. Kunberger: Well, exactly how we approach the Magnox opportunity, we'll keep a little bit closer to our vest. But I would say, in general, we are moving more and more in the direction of taking the Tier 1 position and a lead position on a lot of these government opportunities. And that’s really based on -- buoyed off of the success we've had at AWE and some other programs that are forthcoming over there. And so our reputation, our position with the U.K. government is changing, and we certainly intend to take advantage of that.
Craig L. Martin: How about on the nuclear side? What's your view on nuclear?
George A. Kunberger: Certainly, your point's well taken, but I'm reminded of a meeting I had. Actually, I was at a conference where the woman who runs the nuclear business for the government or advises the government on that, and she was expressing a lot of concern about -- to use her words, the dash for gas that the government and the various utilities may well be tempted to pursue for the obvious reason you're asking. But she certainly recommitted at that particular point in time, and this is about 6 months ago. Strong need on the part of the government. Certainly, her advice for the government is that they cannot afford to not invest in nuclear power in the U.K. over the long run. It's a long-range view, and sure, they can take some opportunities in the short run about taking advantage of the gas prices. But in the long run, they need to invest, and certainly, that's what we're seeing. It's going a little slower than we anticipated. But certainly, there is investment planned, and it is moving forward in the U.K.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And then lastly, Craig, as it relates to the U.S. Federal Government outlook, can you comment on how Jacobs is preparing for sequestration, if at all, and maybe what some of your customers are saying to you right now about January 1?
Craig L. Martin: Well, that's like a 4-hour conversation. First off, my fundamental belief is that sequestration won't happen because we can't afford it as a country. But having said that, there is the risk that it will happen, and we've been looking pretty hard at what the impacts of that might be on the business. What it arguably means for defense, which is the biggest part of our federal business, whether it's for the DOE or DoD, is probably a lot less spending on new kit. There's very little that can be done to avoid costs otherwise. Certainly, there could be some efforts to downsize the standing force, and the effects of those things are likely to be a shift to sustainment of existing kit, which probably is good for our RDT&E business and not so good for our Scientific Engineering and Technical Services business. So it's a little bit of a mixed bag in that regard if, in fact, sequestration or some form, something like it takes place. On the other hand, we continue to maintain a very, very aggressive cost posture in that industry, very low overheads and a strong competitive position. And to the extent that what you can get done with a dollar becomes even more important to our Federal Government, our position in that market's probably not a negative. It's probably a good one, actually. We're probably in a good spot. But having said all that, the biggest problem we have here is the unpredictability of what it means. And we're well positioned as a company to take different strategic directions depending on what happens and to react to that fairly quickly. But it's -- like I say, we could have a 4-hour conversation about what all the different possibilities are and what our response would need to be. I think we're being thoughtful about that, but it's one of those things where you take care of today, and tomorrow will take care of itself. Does that sort of answer your question?
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: It sure does.
Operator: Our next question comes from Scott Levine of JPMorgan.
Scott J. Levine - JP Morgan Chase & Co, Research Division: So not to micro-analyze your changes in your slide decks quarter-to-quarter, but you said on the oil and gas and the upstream side, it's kind of on the fence in terms of strong and very strong. But there was a change from last quarter. Even if we talk about the more subtle aspects in terms of what will cause you to change the wording there. Are there certain areas within the business where you’ve seen maybe a little bit of a pause? And also if you could provide some color on the turnaround business where in your last quarter, you'd indicated you saw some deferrals? Has there been any change in the outlook for that business in '13?
Craig L. Martin: Let me take the second half of the question first. The turnaround deferrals were problematic. They have continued to be deferred. We didn't expect them to come back this quarter anyway. It does look like those turnarounds will happen in our FY '13. So it's a positive for '13, but it has no additional impact or no further impact on '12. Going back to the changes in the slides, I would discourage you reading more into them than just changes to try to make the -- make changes almost. That's not quite true, but we remain very, very positive about the oil and gas market. Strong or very strong is not an indication that we think it's softened in any way or that projects are moving away or out. So to the extent if our change in the wording there had that impact, I apologize. That wasn't -- certainly wasn't intended.
Scott J. Levine - JP Morgan Chase & Co, Research Division: No, that certainly clarifies it. And then maybe just to follow on regarding the infrastructure business and maybe the implications of the Highway bill as a positive on transportation. If we've heard you correctly the last few calls, Craig, it sounds like that's been one of the weaker areas within infrastructure, at least domestically. How much of a difference-maker could that be in your opinion, either directly or indirectly, in terms of the State starting to spend more with increased visibility? And how much impact might that have on your business specifically?
Craig L. Martin: I'll comment, and then I'll ask George Kunberger to comment. I think that the good news of the bill is sort of clarity and visibility and that, that will allow projects to be released that might not have otherwise been -- might have been released eventually but maybe get them released a little sooner. The level of funding is nothing to get excited about. It's not like the Highway bill is going to drive a lot of new investment or have some sort of a stimulus kind of effect on the business. So I think you're looking at incremental improvement in the market on the highway side. And I think probably even after that incremental improvement, we're going to still describe highways as, relatively speaking, soft or weak. George?
George A. Kunberger: No, I think that's right, Craig. I mean, you actually have a couple of things going on. Before the Highway bill was passed, even at the state levels, you started to see some recovery of the markets just because projects had been delayed for so long that they needed to get on with them. So that had already started. The Highway bill just sort of adds some certainty and some clarity for the next couple of years, certainly, but -- and also highways is a particular strength of Jacobs. So you got all that together, but if you add all that up, it's still just going to be a nice slow increase in our overall infrastructure business, but you're not going to see any spikes as a result of it, which quite frankly, is a good thing, to be honest with you, in the long run.
Operator: Our next question comes from Steve Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just a follow-up on Scott's question there on the refining turnarounds. I'm wondering when would you expect those contracts that were canceled to be re-awarded. I mean, do you think it could be in advance of when you report next? We’re just keeping in mind that, that's when we would expect you to give your guidance for the next year. So I'm just wondering how might you factor that into your guidance, if they're awarded or not awarded.
Craig L. Martin: Well, it's -- I'm not expecting nor do I recall a lot of cancellations on refining. So it's not like I'm expecting a lot of canceled projects to come back. The project cancellation thing was mostly concentrated up in the oil sands in terms of where a lot of projects got put on permanent hold, so to speak. But with respect to refining, I think what we're going to continue to see in refining is small to midsize investments in the U.S. and Europe, again, driven by cash flow for the most part, environmental concerns, shifts in the crude quality, even when there's good news. So take all the liquids that are coming off of the unconventional gas exploration and development program, a lot of those liquids are such that you can't just stick them in the refinery and make gasoline.
Steven Fisher - UBS Investment Bank, Research Division: Sorry, Craig, I was referring to the maintenance and turnaround activity.
Craig L. Martin: Sorry, I misunderstood your question. I apologize. No, the maintenance turnaround activity, we fully expect to come back in the first and second quarter of next year, and that will be a nice little adder to the overall strength of the quarter, hopefully, depending on what other businesses are doing, obviously. And we will have factored that into the guidance that we give when we get to your end here. Does that answer your question?
Steven Fisher - UBS Investment Bank, Research Division: Yes. I guess just wondering, when would you expect those to actually be re-awarded and contracted?
Craig L. Martin: Well, I think we'll see the contracting for them fairly shortly, so late this quarter, early next quarter. A lot of those things are part of ongoing long-term agreements. There's no actual contract be awarded. It's just a function of when the customer decides to spend the money, or -- yes, shut it down [ph]. It's the same thing. To George's point, most of these turnarounds require you to stop producing gasoline. You shut the refinery down to do the turnaround. And when gasoline prices are good and you're making money, you're always reluctant to do that. And that’s certainly part of what affected the turnarounds this last winter is that the refineries that were producing oil didn't want to shut down, and certainly, some of our SAGD customers and heavy oil customers, same thing, making money, don't want to shut the plants down for turnaround. There's only so long you can postpone the turnaround, and then sooner or later, you got to do it. Our view is that this coming fall and winter is probably the most likely time. And like I say, a lot of that is already actually under contract, but it's where -- it's not backlog.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then can you just comment on overall Europe expected impact in 2012? I guess where is that tracking now? I think earlier in the year, you'd expected it to be about neutral for 2012. Has that changed at all?
Craig L. Martin: Repeat your question. I'm not sure I understood what you were saying.
Steven Fisher - UBS Investment Bank, Research Division: Europe, your overall European exposure?
Craig L. Martin: Certainly, Europe has worked out about like we expected. This year, it's been pretty much a neutral in terms of growth. We haven't seen a lot of shrinkage. We haven't seen any significant growth. I think next year looks a lot like this year. I think we'll struggle in Southern Europe where our business is more public sector oriented, more buildings and infrastructure related. And we'll do a little better in Northern Europe where we have a strong position in a number of the refineries and the small-cap kind of work seems to be -- looks like it's going to continue to be pretty robust. So Europe is a mixed bag, but net-net, I don't think it's going to be a drag on the company.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then just the last quick one, I'm not sure if I missed this in the beginning, but did you disclose what the -- or can you disclose what the FX impact was on the backlog sequentially?
John W. Prosser: Well, we don't typically disclose that. That's just kind of things that change quarter-to-quarter. But I don't believe there was any significant impact on it either way. As you look through the different currencies, some go up, some go down, and I don't think we had any significant changes.
Operator: [Operator Instructions] And our next question comes from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Just I want to follow up on one of the questions earlier. John, I want to make sure I understood this. When you were talking about the ratio of field services to PTS work, you were saying it should get closer to 50-50, were you talking about out later in 2013?
John W. Prosser: No, actually, 50-50 is probably beyond 2013. What I said is it would be most likely to trend towards maybe 55-45 in the next -- as we go get into the end of '13 and into '14, but depending on the strength of the market, it could get back to the 50-50 as we go through the whole go forward.
John Rogers - D.A. Davidson & Co., Research Division: And I guess to get there, though, presumably you're going to have to see a pickup in bookings activity for field services. And I know it depends on the type of work you're doing, but especially if it's in the processing industry where you tend to do more fieldwork. Is that correct? And does this cycle, I mean, play out with a lot of small projects and we're still years away from major field services projects?
John W. Prosser: You got to remember, our focus is on the small to medium-size projects. And those tend to transition actually fairly quickly. And so we would expect to see -- yes, you would see the backlog start picking up first because as we transition from the professional services on a particular opportunity into the field services, you’ll book that, and then it will take anywhere from 1 year to 2 years depending on the size of project to work it off. So before you actually see that shift, you'll start seeing a pickup in the -- an accelerated pickup in the field services part of our backlog.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And Craig, you had a couple of different comments relative to acquisitions, but I'm curious, as you see the market over the next several years, where do you need or want to add capabilities with Jacobs, especially by end market or geography, I guess, for that matter?
Craig L. Martin: Well, let me start with geography, John, and I'll then take a second on the end market. But from a geography standpoint, our focus is x U.S. and Europe, so it's sort of rest of the world, that's broader than I mean it to sound. Certainly, China, Southeast Asia, Australia, areas of strong interest for us. South America, also a very strong interest for us. Not so much Africa, certainly not like Russia or that part of the world, and I think there's lots of opportunity for us to expand our U.S. business and shift the mix from being dominated by the U.S. and Europe today to much more balanced U.S. and Europe and rest of the world. In terms of markets, certainly, we still would like to have more capability in the mining and minerals arena. We're about halfway to where we would really like to be in terms of acquisition-related growth and what that can do for us. The Power business remains interesting, particularly the subsets of the Power business. So we continue to look for the right deal in that arena. And upstream oil and gas in, particularly, things like offshore also remain a strong interest for us from a market's point of view. There will always be little niche acquisitions that will occur wherever they make sense. An example of that might be some place where there's a little 100-person company serving a refiner locally where we want to build a long-term presence with that refiner, that kind of a deal might make a lot of sense. And of course, that will be nominal costs as well. But that's really our view, and I think if we're successful in implementing that strategy, we'll round out our portfolio of services and markets that we serve, and we'll strengthen our x U.S. and Europe share of the global marketplace.
Operator: Our next question is a follow-up from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I'll just make this quick. You're been pretty vocal on this call about Shaw Group and just taking it as an example of not a good fit, yet in the early 2000s, you did look at Stone & Webster. So can you touch a bit on -- can you provide some color on what might have changed in terms of profile within Jacobs or within these type of acquisitions that have changed your view in terms of fit?
Craig L. Martin: Well, I don't think our view has changed, Tahira, so let me just contrast, say, Stone & Webster vis-à-vis Shaw. Stone & Webster for us was a play for the utilities market. It had a very strong position with the utilities in a cost reimbursable long-term relationship basis. They also had a hard money power business that we were just going to shut down. They had a -- the ethylene chemicals business was one that, frankly, we had planned to sell. So that wasn't part of -- the technology aspects of Shaw weren't what we're after. So Shaw was a unique opportunity in that -- I mean, Stone & Webster was a unique opportunity because of their bankruptcy and the opportunity to go in, pay for just the things that we were interested in and leave the rest sort of behind. Shaw saw Stone & Webster differently and looked at initially having all the aspects of that business. And that's -- there's a difference in terms of what our companies look for and what we find interesting. If you think about them, what Shaw wanted to do with that business, the piece of Stone & Webster we were interested in became a very small part of Shaw. And then you have things like the pipe fabrication business of Shaw's, which is just -- that's not a Jacobs area of focus at all. A lot of lump-sum turnkey, not a Jacobs area of focus at all. The ethylene chemicals business, which they were already selling off, not a Jacobs interest. They're just -- even if you said, well, we’ll do a true public company deal, which Stone & Webster would not have been because of the bankruptcy situation, shareholders were already out. You'd have to say, well, this one isn't the right fit, and I can completely understand why CB&I would want to do that same deal because it's a much better fit with the way they approach the business. Does that make sense?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Oh, yes, a lot.
Operator: Our next question comes from John Allison of BB&T Capital Markets.
John A. Allison - BB&T Corporation: I only have one question really, and it's based on your solid cash balance on your balance sheet. I was wondering what your proposed uses of cash are from a priority standpoint going forward.
John W. Prosser: As Craig has pointed out, there's very robust opportunities for acquisitions, and historically, we've always said that part of our growth is expected to come from acquisitions. We've been a fairly active acquirer in the past and will continue to be in the future. Currently, we believe that there are more than enough opportunities out there for that kind of acquisition growth and the priority on our cash capital is to fund those acquisitions and as opposed to some other form like a stock buyback or a dividend, although we do periodically evaluate the positions, and it's discussed at the board level and such. And at this point, the focus is more on the acquisitions and growth use of the capital rather than any other use.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Craig Martin, CEO of Jacobs Engineering, for any closing remarks.
Craig L. Martin: Thank you, Emily. Thank you all. This was a good call. We’re, as you've heard, I think, more positive than not about the future. I think we're optimistic about our prospects and our market position and so we think things look good going forward, both for the remainder of '12 and sort of our first sort of thinking about '13. So we look forward to talking to you again in about 3 months, and we'll see where things go from there. Thank you all.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.